Operator: Good day and welcome to PFG's Fiscal Year Q2 2021 Earnings Conference Call.  I would now like to turn the call over to Mr. Bill Marshall, Vice President, Investor Relations for PFG. Please go ahead, sir.
Bill Marshall: Thank you, Laurie, and good morning. We're here with George Holm, PFG's CEO; and Jim Hope, PFG's CFO. We issued a press release regarding our 2021 fiscal second quarter and first half results this morning, which can be found in the Investor Relations section of our website at pfgc.com. During our call today, unless otherwise stated, we're comparing results for the same period in our 2020 fiscal second quarter and first half.
George Holm: Thanks, Bill. Good morning, everyone, and thank you for joining our call today. I'm excited to share PFG’s second quarter results with you this morning. I’m proud to say that our company has continued to weather the challenging market conditions and distinguish ourselves as leaders in the food distribution industry. It is our hope that we will soon be able to gather together at our favorite restaurant with friends and family, and we all look forward to the day when our lives resume a more normal pattern. In the meantime, our associates have been working hard to position our business for long-term success. We also want to say we are humbled, but not surprised by the creativity to  resilience our customers have shown. We are proud to be partnered with so many hard working individuals in the restaurant industry doing our part to help make each of them successful. As expected, the winter brought its challenges. And like the rest of the industry, our business did experience a modest slowdown in December. And while January is typically a seasonally softer month for PFG, we were encouraged by a modest acceleration in sales trends in recent weeks in our food service business. With that said, until the pace of vaccination picks up dramatically, we do not expect to return to a more normal operating run rate for some time. However, once the public feels comfortable gathering in groups we anticipated surge of volume at restaurants. Therefore we are prepared for this acceleration with appropriate levels of inventory. We feel very good about our capabilities to execute this plan and are equipped with ample liquidity. Jim will share more about our financial position in a moment.  Meanwhile, the integration of Reinhart continues to meet our original expectations. Truly a great feat considering the external challenges that could have been a distraction. This speaks to the dedication of our associates, who have worked diligently to accelerate growth and capture our targeted cost synergies. We also continue to believe that we will achieve the roughly 15 million of annualized cost synergies in the third full fiscal year following the closing.
Jim Hope: Thank you, George and good morning everyone. Let's start with a quick overview of our results for the second quarter of fiscal 2021, which demonstrates the resilience of our business. As a reminder, unless we mentioned otherwise, the fiscal 2021 results include the acquisition benefit from Reinhart. Total case volume increased 8.4% in the second quarter compared to the prior year period, driven by the acquisition of Reinhart. Excluding the impact of the Reinhart acquisition, case volume declined 16.9% in the second fiscal quarter. As George mentioned, independent cases were up 26.5% in the quarter, including Reinhart and were down just 5% when the impact of the Reinhart acquisition is excluded. Even with a more challenging December, we saw our year-over-year independent case volume declines improve sequentially from the first to the second quarter. Net sales grew 12.8% in the second quarter of fiscal 2021 to 6.8 billion. The acquisition of Reinhart contributed approximately 1.3 billion to net sales in the quarter. Overall, food cost inflation was approximately 2.6% in the second quarter driven by , disposables, and produce.  Before moving on, a quick word about inflation. We've experienced higher rates of inflation of late, particularly in the food service segment. However, at this point-in-time, we're confident in our ability to pass inflation on quickly without any major disruption to the business at all. With that said, we know that it's a dynamic time in the market, and our team will continue to monitor the situation closely in the weeks and months ahead. Gross profit for the second quarter of fiscal 2021 increased 14% to 811.1 million as compared to the prior year period. Gross profit per case was up $0.26 in the second quarter versus the prior year period. Gross profit margin as a percentage of sales was 11.8% for the second quarter, compared to 11.7% for the prior year period. The increase in gross margins was due to positive mix shift due to better performance in our independent restaurant channel and the addition of Reinhart. Operating expenses rose by 18.9% in the second quarter, compared to the prior year period. The increase in operating expenses is primarily due to the Reinhart acquisition. We also want to highlight a positive development in operating expense in the second quarter driven by an improved medical and safety experience rate, which resulted in lower insurance payments. Some of this was due to a smaller and more experienced workforce. All together, this resulted in about 12 million of lower operating expense.
Operator: Thank you.  Our first question comes from the line of John Heinbockel of Guggenheim Partners.
John Heinbockel: Hi. So, George, I want to start with the two things on the independent side. If you look at the markets that are, you know the warmest, right, the ones that are the most open, are you actually seeing growth there versus that minus five? And then secondly, can you, sort of segregate out the minus five, right, in terms of existing accounts, penetration with existing accounts, new account pickup, lines per existing account, kind of break that out for us if you can?
George Holm: Okay. We have several markets where we're actually doing more independent sales in the previous year in sum – total company. And I would say that right now, they're – mostly in warm weather areas are really challenged markets are Metro, New York, New York, parts of New England, Chicago, Minneapolis, and then the West Coast is really difficult. Our new account growth is, you know, pretty consistent with what it's always been. Last quarter, a little bit better than normal. We are running less lines per order, but more dollars per order, and more cases per order, and we're running more dollars and cases per account as well.
John Heinbockel: Okay, maybe to follow up on that, right, if – that obviously should translate, right, if you're, I guess that suggests your drop sizes are higher, right, the economics being better. You know, I assume that's having a positive impact on profitability of the business. And do you think that continues? You know, what happens in a recovery? You know, will we still see higher drop size or do you think that'll tail off?
George Holm: Yeah, I guess I would kind of answer that I don't have a crystal ball, but I don't see what would change that. I would hope that it would get better because the average customer should be doing more business then. You know, we've seen people reduce their menu, and, you know, particularly for takeout. So, that's kind of affected our lines, but actually, you know, helped our sales per line. So, it's just a different environment than we're used to. And I don't see, you know, any big change to that, other than we should see volumes increase. And I would imagine some of these menus will go back to being expanded.
John Heinbockel: Okay, thank you.
George Holm: Thanks, John.
Operator: Your next question comes from the line of Alex Slagle of Jefferies.
Alex Slagle: Yes, thanks. Good morning. On the Vistar business, the contribution proved a good bit verses the first quarter levels and wondered if you could comment a bit more on the moving pieces in that business and what changed first, the first quarter to drive the improved margin performance?
George Holm: Yeah. There's a very gradual, and I mean, gradual improvement in sales. So you know, that helps, I mean, we dial the business back as much as we're comfortable dialing it back. And, you know, we've got a little help on the expense line. And then Eby-Brown has done very well. And that's the bulk of the improvement is, is in our convenience part of our business.
Alex Slagle: Got it. And just more broadly, it looked like another big mixed contribution driving that delta between the sales and the case growth, and just wondered if you could provide a little more color on that, and if that's going to continue to the same magnitude to start to moderate into the third quarter and what your thoughts are?
George Holm: Yeah. You know, I think that's going to really depend on mix. We got a great benefit from mix, but we really didn't see much of a change in margins in each area, adding two more convenience markets, which we had three weeks of shipping in last quarter. And out of one of those, and they both have been shipping Starting in early January, we've had both shipping. So that's going to add volume to the tobacco area, which is extremely low gross margins, albeit good gross profit per, you know, per unit. So that could have some impact as we get into the third quarter. But you know, that's – it's great incremental business. So, I'm probably not comfortable to comment on what benefits we'll get from mix. But I don't see us having any margin issues, versus where we're at now or versus the previous year in any of the businesses.
Alex Slagle: Okay, great. Thank you.
George Holm: Thanks.
Operator: Your next question comes from a line of Edward Kelly of Wells Fargo.
Edward Kelly: Hi, guys. Good morning. So my first question is really around sort of like the investment, you know, around the recovery, you've had an outstanding history of sort of managing the business for the long-term, can you provide a bit more color around how you're positioning for the COVID recovery from an investment standpoint? And I asked this, because your peers, you know, have had issues, you know, recently that, I guess it seems like with your numbers today you've, you know, avoided it today. But as we think about the next quarter or two, how do we think about the progression of, sort of the cost ramp versus revenues? Do we get some temporary mismatch around that? And how does that impact the way we should be thinking about the progression of EBITDA?
George Holm: Well, I think there's some things that we get some puts and takes there. I think there's some things that are going to help us. You know, we've never really managed the business for short-term. And we were, we didn't panic, and we were really consistent going through this. Our customers had a lot of disruption, and we didn't want to add to that disruption. So, you know, we've been real consistent. But we have markets, as I mentioned, where we're exceeding last year in sales and in some markets, it's fairly significant. And I go back to last February, where, you know, we were really performing well, and we were having labor issues. And where we now have more employees than the previous year and have had to, you know, add back fairly significantly, those same issues have come right back up. So, I think there's a potential for some disruption. We're trying as best we can to be ahead of it. We've continued to invest in capacity. We haven't done any consolidation of distributions between Reinhart and Performance Foodservice, because we don't want to give up any capacity. So, I think that's going to help us moving forward, because we don't want to add disruption in the recovery either. You know, as we downsize our business, we were careful. I mean, we had to dial it down. I mean, we got to be responsible people, but we only wanted to dial down so far. And almost all of the people that we reduced were furloughs and we did the furloughs with benefits. So, we had an easier way of getting him back, because we really wanted him back. And we were able to get some of them work in the retail business, and we have some that are still doing that. I think what's going to help us is, as we bring people back, we're not going to have to train those people. Maybe some retraining would be involved, particularly with the salespeople. I mean, there's such a long learning curve. And the only salespeople that we furloughed were less than 90 days. I think that it's not going to be easy. And you got to have people ready to go. But I don't think it's going to be an enormous issue. I do have concerns that people won't want to come back to work, you know, you always worry about that, right. You know, we've had that issue. You know, as people basically got paid not to work, we did have some issues with that. So, I'm giving you probably way too long an answer, but I'm, you know, we have a level of comfort that we're ready to go, but it's – get to the right labor market.
Edward Kelly: So George, on the other side of this, right, it does seem like as volumes come back, it's not going to be easy, I guess to, you know the match is sort of like inventory and expenses, and all against that. And, you know, you obviously are thinking about things the right way, but there's a large portion of the industry, that has been a really short-term focused. How big is the opportunity when, you know when things come back, as you know, call it like your non-publicly traded, you know, peers, you know, are attempting to sort of ramp up against that, it just feels like there would be, you know, almost a bigger opportunity for you then and what there was when, you know, things were sort of like getting softer. And, you know, everybody was just cutting working capital, but generating cash, and you know, maybe not having as many problems?
George Holm: Well, I think that is the tipping point, is when people do have to invest more in receivables. More in inventory, and quite frankly, get caught up on their payables. I think that's an issue out there in the industry. You know, if you look at our balance sheet, I mean, we obviously tried as best we could not to panic around anything, but we did ask for some support from our suppliers, and we got it. And you can see that that reversed itself last quarter. So, we don't have that concern from a liquidity to standpoint to deal with. So, you know, we'll see when it comes back, I think another advantage that we have, is that we haven't had a great customer mix to deal with this type of situation, particularly in Vistar, but I think that we've had an advantage. You know, we have an excellent pizza business and that hasn't suffered as much. It certainly has where the, you know, sit down restaurants that didn't have a good history and takeout and the ability to deliver, but some of them have done well.  And then when you get to the non-commercial business, excluding Vistar, you know, we do very little lodging business, we do very little contract feeding business, and that business has suffered more than the restaurant business. But then the flip side of that is that our national account business has suffered more because we're so big in casual dining, and we think that that's going to have a real strong comeback. So, a lot of puts and takes, but I think we're in a good position to be ready for it and if there's acquisition opportunities because of an inability to reload on, you know on inventory receivables will certainly be as opportunistic there as we can be.
Edward Kelly: Great. Great, thank you.
George Holm: Thanks Ed.
Operator: You next question comes from the line of Kelly Bania of BMO Capital.
Kelly Bania: Hi, good morning. Thanks for taking our questions. George, just wanted to ask about Vistar, it sounds like you do expect a full recovery there eventually, maybe some parts do take a little longer, but can you just remind us, you know, how different or the same profitability by channel is there? You know, just thinking if we do end up with a little bit of a different mix in terms of channels longer-term, how that could impact the kind of ultimate recovery for the margins in that channel?
George Holm: Yeah. First of all, I think we've made a lot of progress surprisingly in Vistar. It is – our flagship business has been the whole time – it’s level of profitability. If you talk about EBITDA margins has always been our best, it's kind of like our most profitable places are our big broad liners followed by Vistar. And I see that continuing, once it comes back, I didn't mention, there's two channels that I do have concerns with, that's theater, and that's office coffee service. There's been some changes in the makeup of the theater business that could impact us negatively. I think that's going to take a while because there's a lot of great products sitting on the shelf. So, you know, we're going to see really good movies coming out one after another when things come back. But a little concern there. And then two ways to look at the – people coming back from work. First of all, if less people come back to offices that's going to have a negative impact on our office coffee service business, but the flip side of that is in our micro market business, we've had many people, and I mean many that have cafeterias today that have already come to us and said, look, as people come back, we're not going to have as many, and we're not going to be able to support the cafeteria, and we want a micro market program. And we've got some big customers that are really effective at putting those micro markets in. So, I think that could benefit us. I also feel very good about the bending area. From a top line standpoint, that's still our biggest business in Vistar. And it's – those are most – the heavy users there are mostly in jobs that you have to be there to perform that job. It's not something you can do from your home. And I do feel that manufacturing, which is the biggest part of that business for us. I think we're going to see more manufacturing come back to the U.S., not a short-term benefit, but I think that's going to be a benefit for us. So, in my mind, I  all those things together and some of the things that are people have worked on at Vistar, and I see us doing well. And we've made some management changes there are not changes, but additions, but we have appointed Patrick Hatcher there who's been both the CFO and the Senior VP of Sales, as the President and Chief Operating Officer still reporting into Pat Hagerty who has run that business for years. And it'll give Pat more time to spend in the convenience area, and on these projects that we have gone on that we think are going to really help Vistar in the future, and then fairly near future. Long answer, Kelly, but that's kind of where we sit today.
Kelly Bania: No, that's very helpful. And just to follow up, you did or there was a comment about M&A, and I guess you've always been acquisitive, clearly, but just curious what are you looking for today? You know, what is the right fit, is there a geographical fit or capability either on Vista or you know, PFS just would love to hear what you're seeing and ideally, what would be the right fit for you next?
George Holm: Yeah, well I feel that we've developed a pretty organized approach there where we were in the past just kind of more opportunistic and our deals were more relationship driven. And we have what we think is a pretty robust pipeline in both the Vistar side of our business and in the Performance Foodservice, but nothing that we could say today is actionable, and I do feel that when some normalcy comes back, I think that's when the opportunities are going to present themselves.
Jim Hope : I think – I’d also add that what we're looking for, of course, is something similar to Reinhart or Eby-Brown, there was a strong cultural fit, their folks fit in their organization well, and we embraced each other quickly. They added strong shareholder value, and they filled in some spots in the supply chain and our distribution chain much, much stronger.
George Holm: And we look very hard at culture; it's just kind of the way we're built. You know, with Reinhart, we felt like we were getting a very well run company. We felt like culturally, it would be a good fit, knew a lot of the people. And it ended up exactly, that actually, extremely well run company. It just needed to grow. And we're so pleased with the growth that they're starting to show. And, you know, fiscal January is over for us. And it's the first month where we had overlapping business there. We haven't moved – well we moved a little bit of business around very, very little, not even material. And they had an excellent January. So, we're just really encouraged. And it just gives us more confidence to be acquisitive.
Kelly Bania: Thank you.
Operator: Our next question comes from the line of Jeffrey Bernstein of Barclays.
Jeffrey Bernstein: Great, thank you very much. Two questions. First one, you know, as we look through the current pandemic, and think the other side here, do you expect the largest foodservice distributors, including yourselves to have achieved greater benefit on revenue or expense? I’m just wondering your thoughts there. Some of your peers have noted specific sales gains and expense reductions, wondering whether you're seeing similar and prefer not to specifically itemize or maybe not seeing to the same magnitude, any thoughts in terms of the outlook in terms of revenue or expense for yourself in your largest peers post-COVID, and the I had one follow-up?
George Holm: Yeah, I mean, if you took the share gains that we believe we made based on the information that we do get, it doesn't cover the entire market, but definitely our biggest benefits have been on the revenue side. And if things get back to normal, okay, if we go back to 2019 industry size, then we're going to get a great benefit, particularly if things come back similar to pre-COVID in the Vistar part of our business. As far as expense goes, I like to believe that we were always very expense conscious. I think we learned going through this that we weren't as good as we thought we were. But we also want to continue to really invest in people. So, I would say that clearly, the revenue side is where we're going to get the best benefit. And from an expense standpoint, I know we will benefit, I can't begin to, you know, put a dollar amount to that. I just – I don't think we know enough today. We got to see what things are like when it comes back.
Jeffrey Bernstein: Understood. And then as you think about the small-to-mid-size players, whether it's in a restaurant industry or in your own foodservice distribution industry, I’m just wondering who you think was hit harder, maybe how much capacity was likely removed as soon as like on both restaurants and foodservice distributions? Maybe the capacity reduction was less than some had initially feared, just trying to get your perspective on both industries in terms of how the small-and-midsize players are faring versus yourself? 
George Holm: Yeah, I'm going to preface that because, you know, remember, we don't have – we're fortunate we're a large company, but we don't have a huge share. So, I can only tell you what we see based on the business that we have, but we're seeing that the independent is incredibly resilient. I mean, amazingly so. And we're maybe mid-single-digit as far as number of customers that have just gone away, but many of them have been hit hard from, you know, from a volume standpoint, but not really gone away. The , most of them have retrenched the ones that we do business with, but not hugely, and I think they're going to get a big benefit. And then where for – whatever reason in our business, the ones that have been mostly – the most hardest affected have been the regional chains.  Like, it's almost like not small enough to get the PPP, not big enough to, you know, be able to go to the public markets, and you know, redo your capital structure. And that that seems to be where the more difficult times have been. With our competitors, it's very hard for us to see. I mean, I'm – I finally in the last few weeks have heard of some smaller ones that just went out of business, but that's new and they're not real big. So, once again, I'll use that same word, they’ve just been really resilient. And we just don't know how much their balance sheet has been affected, and what their availability to, you know, to get the capital to dial backup is. That's the wild card to us.
Jeffrey Bernstein: Understood. And one just last clarification. I know in your prepared remarks, you talked about the holiday season challenges, but just to clarify, December was a month of weakness. It seems like you mentioned that January was maybe back to October, November levels. And otherwise, your caution around the near-term. It seems so much factual in terms of right, you're lapping strength through late March last year, and you did fully lap Reinhart, but are there any other near term concerns to be aware of? I think you've addressed that you don't expect a major labor shortage or anything along those lines, maybe something around inventory or anything else to be concerned about in the short-term, or just the factual strength of what you're lapping, and the Reinhart culture?
George Holm: Yeah. No, I think there's – I think there's three things that really impacts us today. Two more short-term, one longer-term, but it's restrictions when restrictions get lifted, you see a benefit immediately. Stimulus, when stimulus money comes out, we see a positive impact, really, quite immediately, but the big one is the vaccine, right? I mean, as the vaccine gets out there more, I think that's going to be a big help. As far as ability to get product, we went through some pretty difficult times. On our Vistar side, we're still running historically, poor in-bound fill rates. Food service has improved, and when we do see issues, it's typically virus issues within their manufacturing facilities. So, they tend to be short-term. So, I'm feeling pretty good on, as far as our suppliers go. And I think a lot of the issues that we're dealing with in Vistar is just that many of those suppliers are retail, packaging, and retail, kind of got more attention, I would say, then maybe our channels.  And secondly, many of them, because they could sell everything they could produce, they didn't want to change their lines as often. So, if they used to have, you know, 15 flavors of an item, they went maybe to the eight biggest sellers. So, you know, our customers and our buyers continue to order. And it shows an out of stock, but actually, it's a discontinued item as to whether or not when things recover, if those items will come back in the fold, you know, that we don't know.
Jeffrey Bernstein: Understood. Thanks very much.
George Holm: Thanks.
Operator: Your next question comes from the line of Peter Saleh of BTIG.
Peter Saleh: Great, thanks. I want to come back to the conversation that sat around stimulus. Clearly, there was a little bit of a benefit in the month of January from the stimulus, and it does seem like there may be more stimulus yet to come in either the weeks or months ahead. So, can you just remind us how far in advance  to plan in terms of inventory to capture that? How do you guys think about the benefits of stimulus over the coming weeks and how you prepare on an inventory side and investment side to capture that?
George Holm: Yeah. We're just trying to run heavier inventories. It's really tricky in the perishable area, but that's what we're doing. And the thing about stimulus when it gets announced and then it comes out fast, it is harder to be prepared. Now, what we have seen is a trend, when restrictions get eased of it not being an immediate, that was really difficult because our customers would, you know, be starving for product, and they're all starving for product at the same time. So, you know, even like a New York situation, I mean, when it's gone 25%, and they give it to you that it's Valentine's Day. I mean, I'd rather in many ways be immediate. But, you know, that's when we can get on the, you know, we can get in there to these customers and find out, you know, what their plan is, are they going to have a reduced menu for it. You know, those types of things. So, I would just say, we're as prepared as we can be, we're running high service levels, but not the kind of service levels that we would like to run. You know, this industry was really fine tuned. And you learn that going through this. And, you know, we operate with really short lead times from our customer. We try to get shorter lead times from our manufacturer as possible. And we're returning that product very quickly. And that level of disruption was, you know, it was difficult and it is not back to normal yet, but it's getting there.
Peter Saleh: Thank you very helpful. Just one last question on independence. I know you said, mid-single-digits maybe of the independence have maybe gone away, has anything surprised you? I know, you said also, they're fairly resilient, but things have surprised you in the markets that are maybe a little bit more open for business, any sort of key learning takeaways that you can apply to some of the other markets as they reopen, including New York, Chicago, West Coast?
George Holm: Well, we, you know, we keep real accurate records on what 25% means versus zero, what 50% means versus 25 varies a lot by type of customer, but there probably isn't a situation that we haven't had to deal with. And our  have, you know, pretty extreme amount of independence and autonomy. And they speak a lot to each other. So, they know who to talk to that’s had similar circumstances. And they, for the most part, have companies close enough that they can grab some product if they need to grab some products.  So, we've had more of that kind of, you know, intercompany transfers than normal. And, you know, it's you can plan all you want to plan, but it's really the ability to be creative and to react fast when you have issues and I think that's the biggest thing we've learned is that we want to be extremely consistent and not be disruptive with all the other disruption. And you can't plan well enough and you just got to try to get these things done without the customer being affected.
Peter Saleh: Alright, thank you very much.
George Holm: Thanks.
Operator: Your next question comes from the line of Greg Badishkanian of Wolfe Research.
Fred Wightman: Hey, guys, good morning. It's actually Fred Wightman on for Greg. I wanted to circle back on the Reinhart commentary, the comments that you had made on the top line are really positive, just as far as you know, closing the gap with our legacy PFG business, but how should we think about the delta as we move through the next few quarters and sort of get closer to a more normalized environment?
George Holm: That's a good question. I mean, there – when we get our numbers, and like I said, it doesn't follow the entire industry, but we would get how we did from versus the previous year and market share of course, information. We'd have the market share, but our sales got, and then we get rest of the industry. That's the only two things that we get. So, we don't necessarily know, but we asked to get Reinhart numbers separate from Performance Foodservice’s for the first year. And we want to stop, you know, using legacy Reinhart or whatever, it's, you know, it's us now. They were about the same as the rest of the industry early, you know, right after shelter-in-place. And they're about mid-way between how we do and the rest of the industry now. So, they've made up a lot of ground. And we have several that are growing are actually doing better than last year. Because they're very heavy in the north and some markets that have been pretty shut down, Wisconsin was difficult for a period of time, it's a good market for them. New England, fairly good market, difficult for a period of time. Then when you get to their more Southern ones, not doing as well, but are really closing the gap quickly. These are good experienced people that have been around the industry a long time, and we haven't changed what they do day-to-day very much. But they do like what few changes that they've been subjected to.
Jim Hope: I think that's important to hear what George said there as well about the fact that when you think about the delta between Reinhart and the rest of the business, as it's happening right now, and it's soon really coming to be, it's just one business, it's one food distribution company, and we're going to start letting that go. We won't think about a delta. We'll think about that  and company performing well, and that one company is the food service segment. Those people fit so well that I'm not sure they even think of themselves as Reinhart or PFG here.
Fred Wightman: Okay, great. And then Jim, I think you'd called out a $12 million benefit from lower medical costs on the OpEx line, was that a one-time benefit? Is that something that we should sort of annualize going forward? Any help there would be great.
Jim Hope: Yeah, I can give you some color on that. You know, I think there's a combination of things that happened. We actually paid, our operators paid a lot of attention to safety, and workers comp, and health and welfare of our employees, and so did our employees. Of course, everyone was thoughtful about how they went about their job. And that helped improve our experience, right, in a very costly, and you know, painful part of the business, as well as the fact that we had less employees in the workplace. And that helps with congestion, and frequency and risk, also. So, those two things combined nicely our attention and the number of folks combined nicely to give us a good healthy benefit. As always, we want to be fully transparent and make sure that folks knew that and at the same time, we're pleased to see that happen. I would think that it's probable that as we return to a robust period of growth, and that will happen inevitably. We'll have more people in the workplace. We're going to continue to focus on safety and keep taking care of our employees. It's really important to us. I wouldn't see it as a one-time event, but I think there's a possibility that the magnitude could fade of that over time.
Fred Wightman: Really helpful. Thank you.
Operator: Your next question comes from a line of John Glass of Morgan Stanley.
John Glass: Hi, thanks very much, and good morning. I wanted to ask about digital and how your thoughts are maybe evolving or not evolving, I assume you have a different go to market strategy with respect to your sales force, but your key competitor is now raising the bar on digital, a lot of businesses that are more fully digitized in this business. One, is there a risk you might look back over time and say, you know, that actually was an opportunity for our consumer, our customers are getting younger, they're more digitally savvy, and therefore we need to keep pace. And can you talk about digital penetration as a percentage of sales among your big businesses or your broadline business in Vistar is when different, and maybe did Reinhart have a different approach you could learn from? Is there something you could teach them? How do you think about all of that combined, please?
George Holm: Yeah. Our digital business are what I would call, you know, just the customer facing the order themselves. That has always grown, you know, quarter-after-quarter it's always been something that's gone up, particularly early in the shelter-in-place, but throughout it, that actually went down for us. I think just a simple thing of customers have any more questions and more issues to deal with, and, you know, wanted somebody to talk to. I mean, some cases they furloughed the person that enters the orders and  knew how to do it. It was that simple. So, you know, we got a little stall there. If you get outside of our independent, basically 100% of our business is done that way in food service, it's done, you know, digitally. Vistar is very close to a 100% as a company, almost all of that is done digitally. Performance Foodservice and Reinhart are somewhat similar. I don't offhand know the percentages because they've gone down, so it's just not sticking in my head. We did get learning’s from Reinhart. We felt like  entry system was better than what Performance Foodservice had. And soon everybody will have the same one. And, you know, we feel it's a good system, and it will really be effective. We hope that people continue to adopt it. And we're really careful that we don't force adoption of it. So, I'd like to think that, that we're going to it at the rate in which our customers want that. I'm sure that's not 100% the case. But that's our goal, and that's what we continue to look to do.
John Glass: Thank you.
Operator: Your next question comes from the line of Lauren Silberman of Credit Suisse.
Lauren Silberman: Thanks for the question. With light now at the end of the tunnel, can you share how you're thinking about the growth strategy in a post-COVID era and the composition of that growth across new business, larger expansion M&A? Do you think you can accelerate organic case growth levels relative to what we saw pre-COVID?
George Holm: Well, you know, we took a lot of pride in going many years and many quarters in a row or on the independent side, we grew our cases, somewhere between 6% and 10%. And we fell off of that for a few quarters. Pre-COVID, we were back to those type of numbers. So, we went into this kind of back on track. I think we should then come out of it back on track, and probably will compare the numbers more to 2019 then to 2020. Because, you know, obviously those would be extremely soft comparisons. When you get outside of our independent food service business, I think in the chain area, you know, we've got some good wins. We've got some that are, you know pretty deep in the discussion period. I don't see us being really aggressive, like from an RFP standpoint, or that. I mean, what we can go get and negotiate I think will be really important to us. We've always been a company that does a significant amount of chain business. Then on the Vistar side, we've got, you know, some good plans around additional types of business that we can be in.  Obviously, we're most focused on getting that business getting, you know, ready for the post-COVID world, but I think that they'll continue to grow above the numbers that were pre-COVID. Like I said, we got two categories there. We worry a little bit about. And then M&A, like I said, we've got a pretty good pipeline right now. Nothing that I would say is today actionable, but we’re encouraged. We won't be any different than we were before, but…
Lauren Silberman: Somewhat related to that, have there been any changes in restaurant customer behavior that you expect to stick whether that's an increased willingness to have a smaller group of distributors? I know you just spoke about there's no perspective, any color I know, one of your competitors is talking about incremental opportunities ?
George Holm: Well, we always feel that the restaurant sure should buy from less people, it's more efficient. So, we like that as long as we're one of the ones they buy from, obviously. There is changes I see. I'm not – I think takeout is going to be certainly not what it is today, but takeout is going to be an important part of the business. And you know, having a great disposable program and you know, being really tuned into what the customer's needs are there I think is going to be really important. And, you know, third party delivery goes right hand-in-hand with that.  I think it's going to drop-off and we'll have winners and losers in that, but it's here to stay. So, I think that's a change. The purchasing behaviors of a restaurant. I really – I got to think that they've changed their habits for such a long period of time now that maybe that's the new habit, but maybe that's just being hopeful, but definitely changed.
Lauren Silberman: All super helpful and just kind of a last follow up on January case growth trends, any color you can tell regarding consistency throughout the month from a restaurant perspective, we're hearing kind of some volatility related to most benefits and stimulus and perhaps some weather?
George Holm: It's been a little volatile in January. I try always to be careful, comments about January because it's a soft month, even when it's really good. And our fiscal third quarter calendar first quarter ends up quite often to be all about March. I guess what I'm saying is, been at this a long time. I've had bad January's and really good third quarters and I've had really good January's and not so good third quarter. So, you just keep that in mind, but it has been improved and it has been volatile, both of those things.
Lauren Silberman: Great. Thanks so much for the comments.
George Holm: Thanks.
Operator:  Your next question comes from the line of William Reuter of Bank of America.
Unidentified Analyst: Hi, this is  for Bill. Thanks for taking our questions. So first, what are you seeing in labor inflation, and what percent increase in wages are you expecting on a per employee basis?
Jim Hope: Yeah, the cost of labor, excuse me. Yeah, we are seeing some labor inflation. I'm not prepared to give the number. And I certainly don't want to project in the future. But I can tell you, one of the things that helped us is, as George mentioned, we furloughed people with benefits, and we brought them back as quick as we possibly could to take care of the business and to take care of them, of course. So, we'll manage it well. And I think I'll leave the answer that it's a tough one to predict. We've been through tough times before. So, I'm confident that our operators will be able to manage the crew and have the supply chain running smoothly.
Unidentified Analyst: Got it. And do you expect that food cost inflation will contribute to gross margin expansion, and if so, how much?
Jim Hope: Yeah. It typically does. And, you know, we talked about the current inflation rate we have right now, we're very in tune with inflation and the cost of product daily. Difficult to predict where it will go, but I can tell you we will be watching it, and we'll be ready.
Unidentified Analyst: Great. Thank you so much.
Operator: Your next question comes from a line of Carla Casella of JP Morgan.
Carla Casella: Hi, a couple questions. On the – have you changed your leverage target or do you expect to at least get below four times? I guess the target would be by mid-next year, given what the  is that correct?
Jim Hope: Yeah. We haven't changed our thinking around leverage and our targets. We've talked about how we like to be in typical run rates, in a normal economy, normal environment, anywhere between  perhaps in a major acquisition. That's still where we like to be. And the numbers you just mentioned do make sense.
Carla Casella: Okay, great. And then, you know, if you had Reinhart in for a full-year, I guess prior to the pandemic, I’m trying to understand how big the theaters and office segments would have been as a percentage of revenue, can you give us any sense for that?
Jim Hope: Yeah. We haven't actually disclosed that number before, but look, we like that business, we appreciate it, it’s helpful, but it isn't material.
George Holm: No, it's not at all.
Carla Casella: Okay. And then just one last one, did you – I may have missed it, did you provide what Reinhart’s organic growth would have been in the quarter?
George Holm: No, we did not.
Carla Casella: Okay. Can you say whether it's similar in terms of  with any of your existing businesses?
George Holm: Well, I think what I did say, as best that we can determine was share numbers. And like I said the information we get that's outside of our company is not the entire industry, but it's a big portion of it, and that they've gone from trending the same as the rest of the industry to about halfway between how we're doing and the rest of the industry. So, you know, they're making some good progress. And it appears as if the rest of the industry is for, you know, last quarter were somewhere in the low 20% declines. So, I think, you know, you can kind of figure it out from there.
Carla Casella: That's really helpful.
George Holm: Okay.
Carla Casella: That's great. Thank you very much. That's all I have.
Operator: That was our final question for today. I will now return the call to Bill Marshall for closing comments.
Bill Marshall: Thank you for joining our call today. If you have any follow up questions, please contact us at Investor Relations.
Operator: Thank you for participating in PFG’s fiscal year Q2 2021 earnings conference call. You may now disconnect your lines and have a wonderful day.